Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CVS Caremark Q4 2013 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded on Tuesday, February 11, 2014. I would now like to turn the conference over to the Senior Vice President of Investor Relations, Ms. Nancy Christal. Please go ahead.
Nancy Christal: Thank you, Frank. Good morning, everyone, and thanks for joining us. I am here this morning with Larry Merlo, President and CEO, who will provide a business update and Dave Denton, Executive Vice President and CFO, who will review our fourth quarter 2013 results and 2014 guidance. Jon Roberts, President of PBM and Helena Foulkes, President of Retail Business, are also with us today and they will participate in the question-and-answer session following our prepared remarks. During the Q&A, please limit yourself to no more than one question with a quick follow-up so we can provide more callers with the chance to ask their questions. Please note that just before this call, we posted a slide presentation on our website that summarizes the information you will hear today as well as some additional facts and figures regarding our operating performance and guidance. Additionally, please note that we filed our Annual Report on Form 10-K this morning and is currently available on our website. During this call, we will use some non-GAAP financial measures when talking about our company's performance including free cash flow and adjusted EPS. In accordance with SEC regulations, you can find the definitions of these non-GAAP items as well as reconciliations to comparable GAAP measures on the Investor Relations portion of our website. As always, today's call is being simulcast on our website and it will be archived there following the call for one year. Now before we continue, let me to read the safe harbor statement. During this presentation, we will make certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. Accordingly for these forward-looking statements, we claim the protection of the safe harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. We strongly recommend that you become familiar with the specific risks and uncertainties that are described in the Risk Factors section of our most recently filed Annual Report on Form 10-K. Now, I will turn this over to Larry Merlo.
Larry Merlo: Okay. Thank you, Nancy and good morning everyone, and thanks for joining us today. I am very pleased with our fourth quarter results with adjusted earnings per share coming in at the high end of our guidance at $1.12 per share, capping off a terrific year. For full year '13, we delivered strong growth in revenues, gross margin, operating margin and earnings across the CVS Caremark enterprise. Excluding one-time benefits, in both 2012 and '13, adjusted earnings per share increased nearly 16% with PBM operating profit increasing nearly 15% year-over-year and retail operating profit growing 10% and Dave will discuss our financial results and guidance in greater detail during his financial review. So with that, let me provide a brief business update highlighting our progress since we met at analyst day in December. As you know, last week we announced our decision to exit the tobacco category, a category which we believe is inconsistent with our growing role in the changing healthcare marketplace. Simply put, this was the right decision at the right time. There is a far greater focus emerging on health outcomes, managing chronic disease and reducing costs. And exiting the tobacco category more closely aligns us with the goals of patients, clients and providers positioning our company for future growth. It is also important to recognize that we are doing this from a position of strength. The response to-date has been overwhelmingly positive across an array of key constituents including customers, clients, both current and prospective, [benefit] [ph] consultants, legislators and policymakers and public health and Medicaid officials, all of whom see the health benefit, as well as the role that pharmacy can play in advancing smoking cessation and better managing chronic disease. Again this decision puts us full alignment with the goals of not just our clients and patients, but others across the healthcare delivery chain to include physician practices and hospital systems. Since our announcement we are already hearing increasing dialogue about the concept of quality or outcomes based pharmacy networks and as we move forward, we believe quality and outcomes will be important measures of success in the rapidly evolving healthcare marketplace. Now one of the questions that frequently has been asked over the past week is, what about the other products we sell? Well, let us be clear. You cannot compare a bar of chocolate or a bag of chips to a pack of cigarettes. Those products used in moderation will not harm one's health. The same cannot be said about tobacco. There is no amount of tobacco use that’s considered safe. As we stated last week, the decision to exit the tobacco category does not affect our 2014 segment operating profit guidance, our '14 earnings per share guidance or our five-year financial targets provided at Analyst Day. Our business is strong and we have near-term offsets to the profitability impact of this change. We strongly believe this decision will further strengthen our position as a healthcare leader, further differentiate us from competitors and better position the company for growth going forward, and Dave will touch further on the financial implications during his financial review. Now, let me turn to some early observations about the impact of the Affordable Care Act. While we all know enrollment on the public healthcare exchanges was slow and be bumpy at the outset, all signs point to improvements in the enrollment process and increasing awareness among eligible consumers. The latest data now shows 3 million exchange enrollees, but it's still pretty early to say definitively what the impact from the public exchanges will be in the short-term. With regard to Medicaid expansions, there are positive signs that enrollment is increasing. In January, HHS reported that December Medicaid determinations were up 73% over a three-month baseline period in states expanding Medicaid, obviously a positive indicator. Now, although it remains to be seen how many people ultimately gain coverage this year, we are encouraged by the recent progress and we believe CVS Caremark is well positioned to serve these new customers across our enterprise assets. Furthermore, we are well-positioned as an enterprise to support our health plan partners. We offer a variety of capabilities that help them engage, educate, enroll and manage the care of individuals in exchange products. Our strong relationships with health plans have allowed MinuteClinic to be broadly included in exchange products and for CVS Pharmacy to be part of many limited and preferred pharmacy network relationships across the country. Overall, we are happy with the progress that we are seeing and we continue to expect a modest net positive benefit from health reform this year. I also wanted to touch briefly on our recently announced 10-year agreement with Cardinal Health to form the largest generic sourcing and entity here in the U.S., the world's largest generic drug markets. We are bringing together two of the most knowledgeable and experienced generic sourcing teams in the world, teams with a track record of working collaboratively to drive results. The structure will be simple and it's designed to be flexible to marketplace changes and easy to do business with through centralized decision-making. With our combined volume and capabilities, this venture will help spur innovative purchasing strategies with generic manufacturers that create value while enhancing supply chain efficiencies. As we stated previously, we are excited about this venture, our teams are already hard at work with the goal of the operational by July of this year. Moving on to an update on the PBM business, since Analyst Day in December, our results for the '14 selling season did not materially changed. With nearly 90% of our renewals complete, client net new business totals $2.4 billion, with our retention rate at 96%. Remember that this net new business excludes the impact from attrition in our Med-D PDP business. As Jon referenced at Analyst Day, we lost $1.3 billion in '14 revenues related to last year's CMS sanction, and as you are also aware, we are pleased that CMS lifted the sanction at the end of December. Now that we are out of sanction, we are once again able to enroll new choosers who are [agent] of the program, which is expected to help offset any ongoing natural attrition. Then later this spring, we look forward to also enrolling low-income subsidy auto assignees as defined by the CMS process. We currently have about 3 million lives in our PDP, and we see significant opportunity to grow the business over the long-term. With the changes that we have made to strengthen the Med-D management team along with the remediation steps we have taken, we believe that our long-term growth goals in the Med-D space are very achievable. As for the 2015 selling season, still too early in the season for a substantive update, but I can tell you that the marketplace is active and we are very well-positioned to both, retain business and gain share with our unique suite of capabilities and strong service record. Now, as you know we currently provide retail, mail and specialty PBM services to the Federal Employee Health Benefit Program, many refer to it as FEP and those contracts are up for renewal for 2015. At this point in the process, there is nothing to report, in regard to these contracts other than to note that we are very happy with our FEP relationship as well as the service and value we are providing to FEP and their members and we expect to know the results of the RFP process sometime during the first half of this year. Let me update you on our progress related to our long-term strategic agreement with Aetna. The migration of Aetna's commercial business to the CVS Caremark platform has been completed and we have been working with the Aetna sales team to ensure that their clients now have access to CVS Caremark's differentiated offerings. Programs such as Maintenance Choice and Pharmacy Advisor are currently being offered to their clients to help them save money while improving member health and our joint efforts have been successful to date. In addition, we also working with Aetna to implement and administer their exchange offerings and other government programs resulting from the Affordable Care Act. Turning to our Specialty business. Growth remain strong in the fourth quarter as revenues were up approximately 22% year-over-year. The growth was driven by drug price inflation, utilization, new product launches and new clients. As we noted at Analyst Day, we expect to see significant growth in the specialty pharmacy space and we are well positioned to capitalize on this opportunity. Last month, we completed the acquisition of Coram, a market leader in specialty infusion services and enteral nutrition. This provides us with a new set of capabilities to manage not just the cost of infused drugs but also to reduce the length of hospital stays and to help patients move from higher cost sites of service like hospital outpatient centers to more cost-effective locations such as the patient's home or a physician's office. No other organization brings the range of specialty assets, the depth of experience or the integration of care that the combination of CVS Caremark and Coram is now able to deliver. In addition, our new Specialty Connect offering remains on schedule for its 2014 roll out. The specialty offering, think of it as being analogous to our Maintenance Choice program for traditional maintenance medications. Specialty Connect integrates our mail and retail capabilities, providing both choice and convenience for members while preserving the central clinical expertise that leads to better health outcomes. We are looking forward to having this fully implemented this year and are excited by its prospects. Finally the acquisition of Novologix last year has provided us with an unmatched claims editing technology. Through Novologix, plans can manage drugs paid under their medical benefit with the same level of precision that is routinely expected for PBMs leading to significant cost savings for the plans. We are now reviewing thousands of claims daily for our largest Novologix client using this unique technology and we expect to be able to assist many more clients as we work towards a broader roll out. So I think you can see why we are very excited about all the ways we are raising the bar in specialty as we develop innovative offerings that capitalize on our unique ability to optimize cost, quality and access in the specialty pharmacy arena Now moving onto the retail business, we had another solid quarter. Total same-store sales increased 4%, while pharmacy same-store sales increased 6.8%. Our Q4 volumes were muted given a slow start to the flu season compared to strength in the prior year with flu related scripts down nearly 10% year-over-year. In Q4, pharmacy same-store sales were also negatively impacted by about 230 basis points due to recent generic introductions and that is a 90 basis decline from the impact we saw in Q3. Our pharmacy same-store scripts increased 3.8% on a 30 day equivalent basis and the growth in our Maintenance Choice program continues to result in a greater than historical rate of conversion from 30 to 90 day scripts. Now, as you know, our goal this past year, 2013, was to retain at least 60% of the scripts we gained during the impasse between Walgreens and Express Scripts. I am pleased to report that we exited '13 with the retention rate ahead of our expectations. Our numbers have held steady now for several quarters and we expect no further loss as a result of the impasses resolution. Given that these scripts are now part of our base business, there will be no need to provide updates going forward. As for the front store business, comps decreased 1.9%, reflecting a decline in traffic partially offset by an increase in basket size. Recall that we are comping against a very strong cough and cold season we experienced in December of 2012, and our cough and cold business was down about 5% in the quarter. As far as the seasonal business goes, we had a very good Halloween season, while Christmas was roughly flat to last year. Keep in mind that we have one less shopping week between Thanksgiving and Christmas. On a two-year stack basis, our front store comps were 2%, notably better than the 1.1% two-year stack front store comp performance we saw in Q3. Our front store margins were up slightly this quarter, and with our ExtraCare loyalty card, we continue to drive engagement among our members through personalized value across all channels. As you have heard us say many times with 15 years of testing, refining and fine-tuning, we are better able to optimize our promotions and drive profitable sales. Overall, roughly 85% of our front store sales and 70% of our front store transactions use ExtraCare. Today, despite almost universal availability of loyalty programs, customers continue to rate our program, substantially above the rest and have significantly higher engagement levels. Now, one of the many ways we offer value to our customers while driving profitable sales is, by using ExtraCare to drive traffic usage of our store brands. For the 13 years store brands represented about 17.8% of our front store sales and our goal to move that to more than 20% over the next few years, with opportunities identified across the number of categories. Customer acceptance continues to grow and our store brand quality has never been better and we continue to innovate to meet our customers' evolving needs. Turning to our new store program, we opened 77 new or relocated stores, we closed to during the fourth quarter, resulting in 58 net new stores in the quarter. For the year, we opened 247 new or relocated stores, closed 13, resulting in 156 net new stores and that equates to 2.4% square footage growth. Let me briefly touch on MinuteClinic, which delivered more than 10% growth in revenues this quarter, despite the tough comparisons with the strong flu season in 2012. We opened 74 net new clinics in the quarter, including clinics in new states and markets such as New Hampshire and the San Francisco, San Jose Bay Area. We reached a milestone, ending the year with 800 clinics across 28 states in the District of Columbia. As our President of MinuteClinic, Andy Sussman noted on Analyst Day, we plan to open at least 150 new clinics this year and our long-term goal is to create a national platform that supports primary care by providing integrated, high-quality care that is convenient, accessible and affordable. Now those of you, who attended our Analyst Day, probably remember Andy's video that highlighted our new telehealth at MinuteClinic pilot programs. I am happy to note that we have now launched 28 sites in L.A., San Diego and Orange County, California. Our California nurse practitioners are now providing patient care remotely through sophisticated video technology and audio equipment, with licensed vocational nurses assisting patients and we plan to expand this exciting pilot to a second state later this year and we look forward to the results. With that, let me turn it over to Dave for the financial review.
David Denton: Thank you, Larry. Good morning, everyone. Today, I will provide a detailed review of our 2013 fourth quarter results and review our 2014 guidance. As I typically do on these calls, I want to begin with a wrap-up of last year's capital allocation program and how we have been using our strong free cash flow to return value to our shareholders. In the fourth quarter, we completed the accelerated share repurchase program that we began in October, and repurchased approximately 26.6 million shares for $1.7 billion. So for all of 2013, we repurchased approximately 66 million shares for $4 billion, averaging just over $60 a share. We have $693 million remaining on our 2012 share repurchase authorization in addition to the $6 billion our Board authorized in December of last year. Additionally we paid $268 million in dividends in the quarter, bringing our total for the year to $1.1 billion. We finished the year with a payout ratio of 23.9% and our strong earnings outlook this year combined with the 22% increase in the dividend we announced at Analyst Day, puts us on track to achieve our targeted payout ratio of 25% at some point during 2014 more than a year ahead of our schedule. So between dividends and share repurchases, we returned approximately $5.1 billion to our shareholders throughout 2013. Our expectation is that we returned more than $5 billion to our shareholders again in 2014 through a combination of dividends as well as share repurchases. We generated $1.3 billion of free cash flow during the fourth quarter and approximately $4.4 billion for all of '13, down $771 million from 2012 levels. The decrease in 2013 was driven by the increase in accounts receivable due to the timing of payments from CMS in connection with our Medicare Part D business partially offset by improved inventory management as well strong earnings growth. We had mentioned on our last call that 2013 free cash flow might fall short of our expectations, and in fact, we did in the year short of our goal. This was driven by the timing of certain cash receipts being delayed from late 2013 in to early 2014. And as a result of this timing shift, we are raising our 2014 free cash flow guidance by $400 million to a range of $5.5 billion to $5.8 billion. Aside from these timing items within receivables, we made great strides in improving our cash cycle through better management of payables and inventory, especially within the retail segment. Our retail cash cycle improved by nearly a day and a half in 2013 and we remain committed to further improvements as we move forward. For the year, our net capital expenditures were $1.4 billion. This included $2 billion of gross CapEx offset by $600 million in sale leaseback proceeds. This level of CapEx was more or less in line with prior year spending levels. As for the income statement, adjusted earnings per share from continuing operations came in at $1.12 per share, at the high-end of our guidance. GAAP diluted EPS was $1.05 per share. The quarter was somewhat atypical as you know, largely due to the timing of Med D profits, as well as the timing of break-open generics relative to 2012, while our operating segments each performed near or above the high-end of expectations. Now let me quickly walk down the P&L. On a consolidated basis, revenues in the fourth quarter increased 4.6% to $32.8 billion. In the PBM segment, net revenues increased 5.2% to $19.6 billion. This growth was attributable to drug price inflation particularly in our specialty business as well as new specialty clients and products. Partially offsetting this growth was an increase in our generic dispensing rate which grew 110 basis points versus the same quarter of LY to 81.1%. In our retail business, revenues increased 5.6% in the quarter to $17.2 billion driven primarily by strong pharmacy same-store sales growth. As far as gross margin, we reported 19.3% for the consolidated company in the quarter, a contraction of approximately 75 basis points compared to Q4 of '12. Within the PBM segment, gross margin declined 100 basis points, again versus Q4 of '12 to 6.2%, while gross profit dollars decreased 9.2% year-over-year. The decline in profit dollars was primarily attributable to the shift of Med D profitability from Q4 into Q3 as expected, and previously discussed. Also contributing to the gross profit dollar decline were fewer claims in Medicare Part D, due to the loss of lives. Partially offsetting these drivers was the improvement in GDR. Gross margin in the Retail segment was 30.7%, down approximately 55 basis points over last year. This decline was largely driven by continued pressure on reimbursement rates, partially offset by the 110-basis point increase in retail GDR to 81%. Additionally, our private-label sales increased 50 basis points as a percent of front store volume to 18.6% in the quarter. Total operating expenses as a percent of revenues moderately improved from Q4 of '12 to 12.6%. The PBM segment SGA rate was essentially flat at 1.6%, while SGA as a percent of sales in the Retail segment improved approximately 55 basis points to 21%. Within the Corporate segment expenses were up approximately $16 million to $198 million. Our continuing efforts with respect to cost control, once again allowed us to deliver very good results across the enterprise. Operating margin for the total enterprise declined approximately 60 basis points to 6.8%. Operating margin in PBMs declined approximately 95 basis points to 4.6%, while operating margin at Retail, was essentially flat at 9.7%. For the quarter, we exceeded our estimates for operating profit growth in both, the retail and PBM segments. Retail operating profit increased to solid 5.8%, exceeding expectations by approximately 135 basis points, reflecting better generic performance. PBM operating profit declined 13%, some-200 basis points better than our guidance range. The PBM benefited from favorable purchasing economics and better than expected specialty growth. Going below the line on the consolidated income statement, net interest expense in the quarter decreased approximately $25 million from last year to $135 million, due primarily to lower average interest rates. Additionally, our effective tax rate was 39.2%. Our weighted average share count was 1.2 billion shares, only slightly higher than anticipated. Before turning to guidance, I want to call your attention to an immaterial accounting correction that was disclosed in our filings today. It relates to how we recognize revenue in the retail segment and it had a minor impact on the prior period financial statements. Historically, we have recognized revenue from the sale of prescription drugs in our pharmacies at the time the prescription was billed as opposed to when the prescription was picked up by the customer as required by GAAP. For substantially all prescriptions, the bill day and the pick-up date occur in the same reporting period and the effect on both, revenue and income from recording prescriptions upon bill as opposed to delivery is immaterial. During the fourth quarter of '13, we began recognizing revenue when the script is picked up by the customer. This immaterial correction is reflected retrospectively in the historical financial statements that are presented in the Form 10-K that we filed this morning, so you can find all the details there. Now, let me switch gears and update you on our guidance. You can find all the details in the slide presentation that we posted this morning on our website, on our focus on our highlights here. I want start with the first quarter as we are revising our EPS ranges upward to reflect the stronger quarter in the Retail segment than we previously anticipated. We now expect consolidated revenues to increase 4.25% to 5.50% in the first quarter. Adjusted earnings per share of $1.03 per share to $1.06 per share in GAAP diluted EPS of $0.97 to $1 per share. This is $0.07 higher than our previous guidance and equates to adjusted EPS growth of 24.25% to 28.25%. Now about half of the $0.07 upward revision is simply a profit timing adjustment versus our original plan. Additionally, strong underlying trends in our Retail Pharmacy business are continuing into our 2014 outlook, especially as it relates to generic performance. The ongoing strength in our core Retail Pharmacy business will help offset the loss from our decision to exit the tobacco category, which I will talk more about in just a moment. As a result, while we are maintaining our retail revenue growth guidance of 3% to 4.5% for the first quarter, we are increasing our operating profit growth guidance to 14.5% to 16.5%. Our first-quarter guidance for the PBM segment remains unchanged with operating profit growth of 21.25% to 28.25%. As you know, last week we announced our planed exit from the tobacco category. On a 12 month basis, we estimate that we will lose $2 billion in revenues, about $1.5 billion directly from tobacco sales and other $0.5 billion from the rest of that shoppers' basket. That equates to approximately $0.17 per share on an annual basis. Given the expected timing for implementing this change, it will cost $0.06 to $0.09 per share in 2014, almost entirely at the back half of the year impact. Now let me switch gears and speak about our full year outlook. For the full year, including the impact from exiting the tobacco category, we are able to maintain the company's previous earnings and segment operating profit guidance. This is due to the strength of our core business trends noted earlier, as well as other profit enhancing initiatives which we expect to offset the $.06 to $.09 shortfall. Within retail, we are lowering our 2014 topline expectations to reflect the elimination of the tobacco category throughout the year. For the year, we now expect retail revenue growth of between 0.75% and 2%, a reduction of approximately 125 basis points related to tobacco and comp growth is now expected to be down 0.25% to up 1%. Comp script growth remains unchanged. As we exit the tobacco category, we will break out the impact to our reported comps on a quarterly basis until we cycle through this change so you can see our underlying performance. We continue to expect retail operating profit growth for the year of 7% to 8.75%. PBM guidance remains unchanged and I will point out that with a strong topline finish in 2013, the jump-off point has moved up. So maintaining revenue growth guidance of 7.25% to 8.5% means that the dollar range actually shifted up by about $275 million. PBM operating profit is expected to be up 6.75% to 10.75%. Given the topline changes I just noted, we expect full year consolidated net revenue growth of 4.25% to 5.5%. We have fine-tuned the yearly guidance for revenue eliminations and now expect the percent of segment sales eliminated to be approximately 10.6%. We also continue to expect consolidated operating profit margins to expand 15 to 25 basis points. We still expect adjusted EPS to be between $4.36 and $4.50 a share. This reflects strong year-over-year growth of 10.25% to 13.75% if you exclude the impact of the legal settlement from the third quarter of '13. GAAP diluted EPS from continuing operations is expected to be in the range of $4.09 to $4.23 per share. We remain confident with these ranges despite our decision to exit the tobacco category by October 1, and we remain committed to utilizing our strong free cash flow performance to enhance shareholder value. And with that, I will turn it back over to Larry.
Larry Merlo: Okay. Thanks, Dave. As you have heard this morning we had a strong finish to 2013 and we are having a strong start to the New Year and I just want to acknowledge and applaud the efforts and hard work of our more than 200,000 colleagues who were responsible for that. So with that said, let's open it up your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of John Heinbockel from Guggenheim Securities. Please proceed.
John Heinbockel: Larry, quick question on tobacco. It's pretty easy to quantify the negative part of this. As you guys made this decision, how you tried to get your arms around the positive piece i.e. share that Caremark or retail might pick up because of the stand you took. Were you able to do that - I mean, you are not going to say it publicly, but were you able to get your arms around what that share benefit could be?
Larry Merlo: John, good morning. Thanks for the question. John, I think as you heard us talk last week and we reiterated it this morning this decision is about CVS Caremark playing a growing role in our healthcare system, so if you go back to Analyst Day, we talked a lot about our strategy to gain share of a growing pie, and we believe that this decision positions us to do that as we move forward recognizing that. You think about the retail customer, you think about whether it's the client, be it the employer, health plan, but there's also a new customer emerging, okay, provider groups and hospitals, and I think that the decision that we made to acquire Coram, I think puts an exclamation point on that in terms of the role that we will play with hospitals in terms of delivering care.
John Heinbockel: Okay. Then I guess just as a follow up on your first quarter guidance, so the retail business performing at a much better rate than what you had talked about in December, so a lot of that is generic, so it sounds like retail gross margin right, substantially better than you would have thought, but you also mentioned timing issues being half of the benefit. Where is the timing coming from?
David Denton: John, this is Dave. I think as I said in my prepared remarks, about half of the raise of the $0.07 is essentially a shift, if you will, or a cadence shift, if you will, around the quarters from our profit plan. Quite frankly, as we exited 2013 and we reassessed our forecasts for the balance of the year, some of the profits that we thought were going to happen later in the year actually kind of happened a little sooner, so we just kind of readjusted our plan, so you would expect half of that is just a shift, the other half is kind of underlying strength in our business, driven primarily by I will say generics within our business.
John Heinbockel: Okay. Thank you.
Operator: Our next question comes from the line of Scott Mushkin from Wolfe Research. Please proceed.
Scott Mushkin: Thanks for taking my questions. Just wanted to understand a little bit, I think, Dave, you said you raised the first quarter by about $0.07, we have a $0.06 to $0.09 headwind from tobacco, but it seems you are being pretty conservative with your full year outlook given the strength in the first quarter. The strength in the first quarter is something you think is going to end? I was just trying to understand a little bit, why you are looking to take a little bit more conservative view on the full year.
David Denton: Scott, this is Dave. Here we are in February 11, you know, we got a lot of time ahead of us. I think as we said our core businesses are performing nicely, we continue to manage the business kind of at a very detailed levels that deliver both, top line and bottom line results and this is our best estimate for the balance of the year and we will see how it plays out. Clearly, we do have a headwind from tobacco and we are working to manage that offset. I think the teams rallied around [just tried] [ph] to get that done and we are working against that.
Scott Mushkin: Okay. Then I had one, it's a little bit more strategic. In your new flagship store in Columbus Circle, with your kind of updated format and just understanding strategically, with Helena there, and where you see maybe the re-models going where you see retail going, one thing that talked about you taking tobacco off maybe something else is going to go there, so I just want to more strategically understand the plans for the Retail segment and try to get those comps back positive. It seems like there is an enormous amount of opportunity there.
Larry Merlo: Yes, Scott. It's Larry, I will start and then Helena can jump in with her thoughts as well. Obviously, when you look at that 8 to 12 feet that tobacco commands today, okay, there will be something replacing that space. To be clear, it's not going to make up $2 billion in revenues, but it will be something and there are some things that are being tested as we speak and we will make a decision on that over the next several weeks, but I will turn it over to Helena and she can share her thoughts, especially with her being new in her role.
Helena Foulkes: Okay. Thanks, Scott. I guess, just stepping back a little bit. I have been in the role for about six weeks. I think in general what I am seeing is, as you heard today, the business is fundamentally strong and our focus is on executing and accelerating growth for the future. We are certainly focused on building on our foundation of pharmacy strengths and there focus even more on differentiating our service where we can leverage our enterprise asset. We are seeing this tobacco decision as an opportunity to connect even more with consumers, as an expert in health and beauty and to build our loyalty with them. And as we focus, specifically on the front store, it's really around driving what we call, smart growth, and I think there it has three elements. The first is taking ExtraCare to the next level. The second is focusing on our core strength in health and beauty. And the third is driving our store brand penetration.
Scott Mushkin: All right. Perfect. Thanks for taking my question. I really appreciate it, guys.
Larry Merlo: Thanks, Scott.
Operator: Our next question comes from the line of Frank Morgan from RBC Capital Markets. Please proceed.
Frank Morgan: Good morning. I appreciate your comments, Larry, about the near-term offset that are available for you out there, but I was just hoping that you might be able to prioritize the offset, things like the new generic joint venture, the Coram, the SilverScript, the accelerated buybacks, how would you prioritize the order of those in terms of their ability to offset this and actually still offer offset and an upside rather than just filling the hole from the tobacco?
David Denton: Frank, this is Dave. Maybe I will start with that. I think first and foremost, as you can see, is our underlying business is performing, at the moment, at a very solid level. I think without going into a series of programs that we have in place because there is not one silver bullet around the offset here as we are working across multiple levels to either manage sales, margins and expense to, I will say, fill the hole that from a profit perspective, that has been generated from the reduction of tobacco sales. I will tell you that we are not using share repurchase to offset that. We are trying to fill the hole at the operating profit line. We are not using share repurchase to fill the hole from an EPS perspective. So we are focused on the operating profit line from that perspective, Frank.
Frank Morgan: Okay. Thanks. One, in a different direction, just on NovoLogix. Is this a incremental revenue opportunity for you or is this just a value-added service that you are making available to your existing clients? And if it is a revenue opportunity, can you talk a little bit about what the potential is there? Thanks.
Jon Roberts: Frank, this is Jon. So I think you should think of NovoLogix as being a value-added capability that enables us to help plans manage their specialty spend on the medical side and we believe that this capability will lead to our growth in specialty fulfillment of drugs that are billed under the medical benefit. So we think it is synergistic to our overall specialty strategy.
Larry Merlo: So, Frank, I describe it as an enabler that allows us to win more business in the marketplace.
Frank Morgan: Okay. Thank you.
Larry Merlo: Thanks.
Operator: Our next question comes from the line of David Larsen with Leerink Partners. Please proceed.
David Larsen: Hi, guys. Congratulations on a good quarter. Can you just give us your latest thoughts on exchange based plans and the profitability around those scripts? Are you actually seeing any volumes and any thoughts there? Thanks.
Larry Merlo: David, I will start and I think the others will jump in here. It's very early and I think as we had discussed, I think a few months ago is this question came up, we see the probability similar to our health plan business and recognizing that we are different than the health plan business of the past. We believe there will be an opportunity going forward to introduce many more of the cost management tools that had been widely accepted in the employer space but not as accepted in the health plan space. We see that tide beginning to turn.
David Larsen: Okay. Great. Just one more, I think on the retail side, 6.8% same store pharmacy growth, that looks very good. I think that was the best growth rate in six quarters. What drove that?
Larry Merlo: Dave, I don't know that there was any single item that drove that. It was disproportionate to other quarters. I think it reflects the ongoing growth in our Maintenance Choice product and the adoption of that and nothing out of the ordinary.
David Larsen: Great. Okay. Thanks a lot.
Larry Merlo: Thank you.
Operator: Our next question comes from the line of Lisa Gill from JPMorgan. Please proceed.
Lisa Gill: Thanks very much. Good morning. Larry, you made a comment earlier, where you talked about outcome-based pharmacy networks. Can you help me to understand how that will work? Is that going to be more of a risk a risk-based relationship? Is there an opportunity for outside for incremental profit based on keeping the patient adherent to the drug? How should we think about that?
Larry Merlo: Yes. Lisa, it's a great question and one that we have given a lot of thought to in making the decision about tobacco products. I will give you two examples of where we think that the decision will make a difference. If you look at ACOs and physician practice groups today, they are increasingly focused on outcomes, because more and more of it is being linked to their reimbursement rates and a key areas that ACOs are focused on, is the role that tobacco place in exacerbating a lot of chronic conditions that are driving cost up in the healthcare systems, so many of these ACOs have developed number of metrics to track this. The results their programs take aim at smoking cessation, again, the use of these products as part of their part of their reimbursement models. If you think about all the different ways that we serve, millions of customers each and every day through our retail pharmacies, our MinuteClinics, our patients and pharmacy counseling through Caremark channels and we see our decision more fully aligning with your outcomes-based reimbursement models [taking] and you and we think that we will become the pharmacy of choice for these entities and physicians. I think another example was what I had alluded to earlier in one of the early questions about the role that hospitals play and the fact that with the Coram asset now, that creates a different dialogue with the hospitals and their physicians.
Lisa Gill: Then, Larry, you know it's only been a week since you made the announcement. Obviously, I applaud you for making this decision as a healthcare provider. Can you talk about hasn't been any change in the last week as far as patients recognizing this, customers recognizing this? I know you said you have had good feedback from whether it's your customer or benefit consultants etcetera, but have you actually seen any increase in volume on the pharmacy side from this or it just too early to tell?
Larry Merlo: No. Lisa, I think it's way too early to tell. I mean, obviously, you know the news was well-publicized across the country in a variety of channels and a variety of stakeholders weighing in support of that decision. Everything that we have at this point is really anecdotal. We have heard from our store teams and our field teams across our Retail and PBMs businesses. Again, all positive, so we will see how that plays out going forward.
Lisa Gill: Okay. Thank you.
Larry Merlo: Thanks, Lisa.
Operator: Our next question comes from the line of Robert Jones from Goldman Sachs. Please proceed.
Robert Jones: Thanks for the question. Just wanted to follow-up on specialty, you mentioned the clients in specialty helping drive sales in the quarter. I was wondering if you could share any more details on where you are winning in specialty space? Then I guess, can you give us any sense of your expectations for special Specialty Connect, and how that could increase penetration of PBM?
Jon Roberts: This is Jon. What's interesting is, we are moving with the selling season and we are off to a pretty strong start. We are actually seeing an increase in standalone specialty RFPs and we think we are extremely well positioned (Inaudible). As we think about the strength of specialty, I think it's not any single capability, but it's our suite of capabilities that are leading to our growth in the segment. As we also think about the rollout of Specialty Connect, which is now underway, you see a lot of patients actually walking into retail stores today that end up getting turned away in the 20%, 25% of specialty prescriptions that start in a retail store. We will now have the ability to take care of those customers and fill those descriptions by connecting our specialty backend and the clinical capability with our retail asset. It is interesting, customers with Specialty Connect have an option to have their prescription mailed to their home or office or mailed to their local CVS and pick it up in the CVS. We see very similar to Maintenance Choice about half the customers want it sent to their local CVS where they pick it up and the other half want it sent to their home or office. So we are very bullish on this opportunity. It is differentiating in the marketplace. It is resonating with clients and it is resonating with patients.
Larry Merlo: Hi, Bob, it's Larry. Just to tag on with one other point. It goes back to something that we had talked about at Analyst Day and the fact that clients are seeing high double-digit growth in specialty, okay. Their appetite to do something different is much different today than it was in the past. Recognizing that the patients that are on a specialty med, they are dealing with some complex issues, but the fact that these costs are growing, 17%, 18%, 19%, people are more willing to entertain programs that can bend the cost curve than they have in the past. To Jon's point, and in our prepared remarks, we feel that we are very well positioned to serve the client needs in a variety of ways.
Robert Jones: I think that all makes sense. Just to follow-up on the selling season, and I know it's really early but any anecdotal things you can share with us as part of what clients are asking for, is there anything that’s resonating more this year, whether it be restrictive formularies in our networks and then I guess just generally how would you characterize the pricing so far as you go through renewals early in the RPF cycles?
Jon Roberts: So, Robert, this is Jon. I will take that and it is interesting that our client, Coram, that we had in the fall of last year, I asked, and these were larger floor clients, what was their number one priority as far as us helping them to manage their drug spend and it was unanimous that specialty is their top priority. They are looking for help to manage those escalating cost that Larry referred to. Our capabilities now enable us not to just manage specialty under the pharmacy benefit but we have expanded our capabilities to manage under the medical benefit. So I think that’s what's different as we move into this selling season. People are very focused on specialty and the capabilities. I would characterize the selling season as off to a strong start. We are seeing activity early on from health plans and governments, state governments or government entities. We expect the employer activity to be strong, and if you remember, this past selling season, we saw our peak activity was down slightly. It appears to be returning to a more normalized level. As far as the pricing environment, I would say, it is very consistent with what we talked about over the last several years. It's very competitive but it continues to be the rational. We think we are well positioned with our size and scale and capabilities and differentiated products to be very successful in the marketplace.
Robert Jones: Great. Thanks so much.
Jon Roberts: Thanks, Bob.
Operator: Our next question comes from the line of Charles Rhyee from Cowen and Company. Please proceed.
Charles Rhyee: Thanks, I wanted to ask a follow-up on a question on specialty. As we think about the market where you are starting to have, particularly in the biotech space, the introduction of oral medications and particularly as I am thinking about HepC here, can you talk about how that is being dispensed through Caremark and also in the retail channel and how do you envision this as you think about other medications that are coming out, sort of these high cost drugs that are no longer injectable? How are you treating this? Do you see this as a big opportunity in the retail space for you? And then how do you push that with payors as well? Thanks.
Jon Roberts: Yes, Charles, this is Jon again. There has been some new oral drugs that have been introduced in the HepC space. Sovaldi and Olysio are two examples. If you look at the treatment, the cost to treat these patients, either over a 12-week or 24-week period, it is somewhere between $80,000 and $90,000 and up to north of $100,000. So these are very expensive drugs that still require big investments in inventory, clinical expertise to follow-up, we need to make sure these patients on these very expensive therapies actually take the medications over the course, so that investment actually results in a favorable outcome. Our approach is, these are specialty drugs for HepC. We do have the capability to, with Specialty Connect to service these patients in our retail stores, so even though the route of administration may move from injectable world, we don't see significant shifts in how these specialty drugs are going to be handled. With HepC specifically the current drugs, obviously are combined with drugs like interferon that require special handling and our injectable, so that's an example of why we think it will continue to be treat as a special disease.
Charles Rhyee: That's helpful, and as a follow-up, are you seeing any sort of pushback from payors at this point around - given the cost?
Larry Merlo: Well, I mean, I talked about how…
Charles Rhyee: Patient population is big.
Larry Merlo: I talked about from a cost perspective, these high cost drugs and therapies are clients' top priority, so when clients start on these therapies, they are very interested in making sure that patients are appropriately managed and that they complete those therapies and HepC is a great example of that, that's why the special handling and capabilities we have in specialty serve the needs of our clients with these very expense treatments.
Charles Rhyee: Okay. Thank you.
Operator: Our next question comes from the line Tom Gallucci from FBR. Please proceed.
Tom Gallucci: Good morning. Thank you for all the details. A couple follow-ups. Dave, on the generic strength in the retail business, just curious what sort of the underlying drivers are there? You are thinking it's a stronger volume or better purchasing and I guess where I am going with it is, does any of this sort of leak over benefit to PBM side of the business as well?
David Denton: Tom, this is Dave. Good question. I think as you know, we work hard and focus a lot of energy on managing the generic profitability is very important to us and there is a lot of efforts underway to do that. I would say there is a combination of not just one thing that's improving our performance here. It's a combination of many things, and you touched up on a little bit. One is, we are clearly continue to drive generic utilization. You are shifting branded drugs generic equivalents and actually just even where we have a generic brand or generic product available actually GDR even further there. We are always very focused on figuring out how to lower the cost of goods sold in those generic products and our procurement efforts are focused against that. I think the later in the years as we have our joint venture up and running, but we are not really thinking about that at this point in time. Then average on time and finally, kind of establishing, I will say, win-win arrangements between payors and ourselves to figure out how we reduce both, pharmacy costs and lower overall healthcare costs by driving utilization in generics, so all three of those components are playing important roles. We think about it. I would say the very short-term a lot of, say, the outperformance in generics are happening in generics is more likely dispensed in a retail locations as opposed to the mail locations, so that at the moment the profitability beat is being funneled more into the retail dispensed channels.
Tom Gallucci: Yes. That's great. Thanks, Dave. The other question I had, Larry, I know you touched on a little bit more, your earlier remarks around outcome-based pharmacy networks. I guess, some of the idea behind the Caremark CVS integration was adding this value to the payor Pharmacy Advisor whatnot, do you see yourselves as retailers contracting as sort of the preferred provider on a value-based sort of basis anytime soon? What sort of metrics do you think would be included in contracts like that?
Larry Merlo: Tom, that's another great question and the answer to that, is yes. Tom, I think that there are a variety of metrics that could be included in that from something as simple as dispensing the low-cost therapy whenever possible largely generic to keeping people adherent on their medication something we have talked a lot about and you could define that by we have talked about that at Analyst Day, you can define that by a medication possession ratio, so, yes, I think that that’s the direction that pharmacy needs to go and we are certainly prepared to move on that.
Tom Gallucci: Okay. Thank you.
Operator: Our next question comes from the line of David Magee from SunTrust. Please proceed.
David Magee: Hi, good morning. First question, on the generic side, as you look at the conversions playing at the balance of the year, it has a timing with regard to that and the benefit, does that change in your thinking?
David Denton: Dave, this Dave. Not substantially. As you know, the break open generics are pretty modest in 2014. So we have not changed our expectation about that or timing of that.
David Magee: Then secondly, more of an immediate term question. With regard to ACA, as you think about that over a three year period, how you would you rank the impacts on your business from all the change there?
Larry Merlo: Dave, maybe I will start and I will ask others to jump in. The base line on the Affordable Care Act is really about driving new members into the healthcare pool. So over the next several years you are going to have something like 35 million Americans who enter some form of health coverage and with health coverage, it will drive utilization within our channels. So I do think that you will see that expansion happen really in two areas, both in the exchange market, whether that be mostly the public exchange, but also in Medicaid that the level of availability for Medicaid increases you will see that extend as well.
David Denton: Dave, consistent with what we have said in the past, we see a more immediate benefit coming from Medicaid expansion than we do the growth in exchange population occurring more over time.
Larry Merlo: I do think that the second piece is that the next evolutions we talked about early today, from a strategic perspective, is as the healthcare system evolves, again, back to outcomes and performance metrics, you are going to see reimbursement focus on those and that will be driven by those who can perform well and effectively in managing care and in management costs down. I think we are very well positioned to take advantage of that over time.
David Magee: Great. Thank you.
Larry Merlo: Thanks, David.
Operator: Our next question comes from the line of Ricky Goldwasser from Morgan Stanley. Please proceed.
Zach Sopcak: Good morning. This is Zach Sopcak in for Ricky. I wondered that Larry, you had mentioned the positive feedback you had gotten on the tobacco decision and one of those sources was the Federal government. You have heard from the HHS and from the administration as well. I was just curious if you are anticipating any kind of a positive impact to your government business as you are going out to bid this year from that?
Larry Merlo: Well, it’s a great question. I mean, obviously, as we have discussed, we think that our decision creates even further alignment with our client. So I would think that all things being equal, okay, that this certainly gives us another check next to our name. But I think that we still have to be priced correctly and we still have to serve the client correctly. So this decision doesn’t take the place of the basic blocking and tackling elements that we work hard to serve our clients each and every day.
Zach Sopcak: Okay, great. Thank you. Then I am just wondering if you can give us some incremental color on the tobacco shopper and if that profit contribution has declined in recent years or didn't flatter up? Then also if that shopper tended to be a utilizer of prescription services as well?
Larry Merlo: Let me start and I think Helena will jump in as well. We do not see this decision having any negative impact on our pharmacy business and it's quite possible to have a positive impact, okay, recognizing the response from the healthcare community in terms of this action. I think the tobacco business at CVS Pharmacy is one that has largely been convenient space. As a matter-of-fact if you look at tobacco transactions, about 97% of those transactions are pack unit sales, not carton sales, so there is a convenience element of that purchasing that will go away and maybe I will ask Helena just to comment on the related sales associate with the tobacco purchase.
Helena Foulkes: Sure. As Larry said, we are not a destination for the category. The other data point that I would add to that is, if you look across the whole industry only 4% of cigarettes or even sold in all of drugstores, so you it's never been an important part of the overall category sale. We think that we have done our job in terms of estimating the sales that come along with those and you see those in the estimates, but in general that I think is isolated around the front store impact. It's very hard to tell what other impacts there will be. Certainly, the feedback in the last week has been overwhelmingly positive, people really feel like this is the right thing to do, positioning us as a healthcare leader and there has been really significant passion among consumers and our employees and a lot of stakeholders, so all of that makes us feel somewhat optimistic.
Zach Sopcak: Great. Thank you.
Operator: Our next question comes from the line of Robert Willoughby from Bank of America Merrill Lynch. Please proceed.
Robert Willoughby: Larry, Dave, in the past you had to slide that did show the CVS share of Caremark accounts. Can we get that on a quarterly basis? Do you have metric for the quarter where that has trended to?
David Denton: Bob, you are right. We have shown that. We showed that at Analyst Day at about 30% and we will take your feedback under advisement and more to come.
Robert Willoughby: Forecasting, Larry, can I give you a point of corner or is that just too aggressive?
Larry Merlo: We are not going to answer that one today, Bob.
Robert Willoughby: I will ask tomorrow.
Larry Merlo: Okay.
Operator: Our next question comes from the line of Ajay Jain from Cantor Fitzgerald. Please proceed.
Ajay Jain: Hi. Good morning. Actually, most of my questions have been asked already, but I just had a housekeeping question on cigarettes. That business is already excluded at this point from your comp base, based on how you are reporting front end comps both, for 2014 and for all the corresponding periods last year?
Larry Merlo: No. It is not excluded. Those sales are in our comp base - will happen as we cycle on to the back half of this year. We produce comps, we will give you the impact on our comps, so you can get the sense of our underlying true performance in front store.
Ajay Jain: Okay, so based on how they are going to be reporting, so then your front end comps could be somewhat understated for the next couple of quarters into sales impact would have been higher from a year ago, is that the right way to look at it?
Larry Merlo: When you get to the back half of the year, yes. That's true, because right now, we said we would exit by October 1st, so it's really more of a back half 2014 dynamic than it is the first half of 2014 dynamic.
Ajay Jain: Okay. Thank you.
Larry Merlo: You are welcome.
Operator: Our next question comes from the line of Edward Kelly from Credit Suisse. Please proceed.
Edward Kelly: Yes. Hi. Good morning, guys, just a couple of follow ups for you. First on tobacco, could you tell us what percent of your most loyal customers end up purchasing tobacco? The U.S. in total, right, is like 20%, but it's less for women than it's less again for the elderly and where I am going to is, is there any risk that you could possibly lose the non-tobacco trips of that customer and how is that sort of factored into the $2 billion that you have talked about?
Larry Merlo: Ed, it's Larry. I mean, Ed, we have done a lot of analysis with all the information available to us. As you have seen in the numbers, based on that work, we believe the related businesses account for about on an annualized basis, about half $0.5 billion, so you could think of it for every tobacco's dollar that we forgo, there is a companion sale of about, call it, $0.30 on that tobacco dollars that moves along with it, okay, and were estimated that that would be part of the lost sales.
Edward Kelly: And is that companion dollar, is that what's in that tobacco basket or?
Larry Merlo: Yes, it is.
Helena Foulkes: Yes.
David Denton: Tobacco shopper.
Edward Kelly: Okay. So I guess you will have to monitor what goes on with those non-tobacco trips of those customers, I guess, right?
Larry Merlo: That’s right.
Edward Kelly: Okay, great. Thank you.
Larry Merlo: Thank you. We are going to take two more calls, Frank.
Operator: Our next question comes from Meredith Adler from Barclays Capital. Please proceed.
Meredith Adler: Thanks very much for taking my question. Obviously a lot of my questions have been asked but I would like to talk just a little bit about Specialty Connect and just understand a little bit better, how would it actually function at the store? I think you said you would connect a specialty customer who opt-in with a new script with somebody at the specialty pharmacy. Is that something you do at the moment? Would you have a follow-up afterwards? I am assuming that the pickup, if it's done at the store is in a temperature controlled packaging as if it would have gone to their home. It isn't handled as a product by the stores? Am I getting that right?
Larry Merlo: Meredith, this is Larry. Let me start and then I will ask Jon to pick up where I leave off. There is one important premise, Meredith, to that specialty customer today and there are many, many examples where that customer goes into a retail environment to get their specialty med filled and they can't, okay, and the pharmacist cannot help them. They turn them away, okay, and it has to do with all the complexities. It's much more than just the fact that particular pharmacy may not stock a high-cost product. So it starts with that premise and then I will let Jon pick up it up from there.
Jon Roberts: Yes, and then, Meredith, all this is powered by technology that connects the retail store with our specialty platform and it guides the store staff through the onboarding process of this patient. I think that really is the differentiator here. A lot of these products, retail pharmacists just don’t see. They aren’t familiar with. So enabling this through technology, connecting it back to specialty, providing a pathway for the clinicians to speak to that patient around either special training or questions or follow-up that needs to occur. If you talk to our specialty patients, they actually talk about their pharmacists. They about the retail pharmacist and they talk about the specialty pharmacist. They view that as a care team that’s taking care of them and giving them the flexibility to get their medication in the way that’s most convenient for them.
Meredith Adler: So you don’t envision this person bringing in a specialty script as dealing with a one-time situation of filling it and then somehow completely turning over the relationship to the specialty pharmacy, but it would continue to be a partnership? Is that right?
Jon Roberts: Yes, right. So, Meredith, that’s exactly what I mean. It's going to be a team that is helping this patient. The retail team will be able to answer some questions and the specialty team will answer other questions for the patient. What the challenge is for specialty patient, it’s a challenge for the physician and it’s a challenge for the patient, because we are now opening up 7,600 points of access, as opposed to what we have now, which is really just specialty mail, it is going to make it much easier for the physician and its going to actually get that patient on their therapy sooner. That care will happen through that team and it’s all connected and powered by the technology platform that we have seen and now we can see that patient or this enables us to see that patient across our enterprise and all our platforms.
Meredith Adler: And just a real quick follow-up to that. Are you planning to train the technicians? My interaction at a CVS store is mostly with the technician, not with the pharmacist. So are they in this loop or do you plan to keep it just for the pharmacist?
Helena Foulkes: Sure, Meredith. This is Helena. Yes, we are rolling this out across the chain as we do any retail program. We have got full training performances and technicians and I think the beauty of the technology that Jon just described is, from a store team perspective, it looks like filling any other prescription that they fill and so it's not a completely new process to them. It looks very much like filling a normal prescription, so to speak, and that’s one of the things that has given us the most positive reaction so far from our store team.
Meredith Adler: Great. Thank you very much.
Larry Merlo: Thanks, Meredith. Okay. Last question please?
Operator: Our last question comes from the line of Ross Muken from ISI Group. Please proceed.
Ross Muken: Maybe I thought I would just start first on your MinuteClinic. What have we seen in terms of the types of things folks are coming into the store for? We have seen a broadening out maybe be the types of treatment people are seeking and I am just curious from like a capacity utilization perspective and some of the older stores or the sites that have been in place. How fast we see them get up in terms of the newer one to some of the legacy levels?
Larry Merlo: Ross, it's Larry. I mean what we are seeing is a heightened awareness and consumer acceptance, which if you look at the earlier markets, as we have been able to you increase the number of clinics within that market, obviously there's a halo effect to the older clinics. I think that, our MinuteClinic team is working on broadening the scope of services provided and that is in development and that's in development with the 30-some hospital affiliations that we have established acknowledging that we are triaging patients from MinuteClinic to the institution and you know and vice versa. I think the other important point is, the fact that MinuteClinic is seen as a value-added benefits by our PBM clients and many of those early adopting MinuteClinic programs that offer reduced or in some cases zero co-pays and that too has driven utilization, so I think it's an evolving story that as we move to the future, you will see us expand our scope of services, but you we will do that in collaboration with our care partners.
Ross Muken: Great. Thanks, Larry. Maybe a quick one for Dave, you are still carrying a pretty good amount of balance sheet capacity. You guys have done a great job of tuck-ins for the last few years. Coram, obviously, the most recent. How would you sort of characterize sort of the tuck-in M&A environment just in terms of activities, the number of assets out there that potentially could be interested, obviously. Can you talk about specifics, but I am just trying to get a sense for tone, because it feels like in general the M&A part of market has gotten a little bit more active to start the year.
David Denton: Ross, this is Dave. I don't know that I can comment too much on that I would just say that as we have been very clear is that we do generate a substantial amount of cash flow that we are putting that cash flow to use. First, in dividends and share repurchases, but just as importantly putting that cash changes kind of on the M&A side, I think, if you look across our business, I don't think we see any hopes as far as an asset compliment that we need to be successful in the marketplace? Having said that, I do think there is opportunities for us to continue to do bolt-on acquisitions, harness the synergies, increase our scale and continue to deliver superior service to either existing customer base or reaching new customers.
Ross Muken: Great. Thanks, Dave and congrats guys on a number of great announcements.
David Denton: Thanks, Ross.
Larry Merlo: Just ramping up, again, let me thank everybody for your time this morning and your continued interest in our company. Nancy her team as always are available for any follow-up questions that you might have. Thanks again.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day, everyone.